Operator: Good morning. Thank you for standing by. Welcome to Payoneer’s First Quarter 2023 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speakers' remarks, we will open the line for your questions. As a reminder, this conference call is being recorded. I would now like to turn the call over to Michelle Wang, Payoneer's VP of Investor Relations.
Michelle Wang: Thank you, operator. With me on today's call are Payoneer's Chief Executive Officer, John Caplan and Payoneer's Chief Financial Officer, Bea Ordonez. Before we begin, I'd like to remind you that today's call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC, which are available in the Investor Relations section of our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today and the company does not assume any obligation or intent to update them, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not as a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's earnings press release, which is available on the company's website. Additionally, in line with our commitment to enhancing investors' understanding of our business, please note we have posted a new earnings presentation supplement alongside our earnings press release on investor.payoneer.com. With that, I'd like to turn the call over to John to begin.
John Caplan: Good morning, and thank you all for joining us today to discuss our first quarter 2023 results. On today's call, I will discuss our business momentum and provide a progress update on the priorities we outlined in February. Bea will then cover first quarter financial results and our increased 2023 guidance in more detail. Payoneer is helping SMBs in the fastest-growing emerging markets to compete in the global economy. We enable customers in over 190 countries and territories to pay, get paid and manage their funds and scale their businesses. Our opportunity is significant. There are hundreds of millions of emerging market businesses, who need a modern global financial operations partner, and Payoneer is the best positioned company globally to serve them with our trusted financial platform, scalable network and infrastructure. In February, we articulated three core strategic priorities. Number one, deliver strong and sustainable revenue growth; two, focus our acquisition, product road map and service model on Ideal Customer Profiles or ICP and three, build our next-generation technology platform. Taken together, this work is positioning our company for step function growth in future years. Our team is making strong progress at a good pace. Payoneer started 2023 with strong financial and business results. We generated 40% revenue growth year-over-year in the first quarter, driven by new customer acquisition, adoption of our high-value services, diversification toward higher take rate geographies and interest income from increasing customer balances held on our network. Adjusted EBITDA increased $28 million year-over-year to $39 million, representing a 20% adjusted EBITDA margin. We generated over 25% year-over-year revenue growth in each of our six regions, including over 70% growth in Latin America. We drove over 50% year-over-year growth in key countries, including Vietnam, Argentina, Mexico, Colombia and UAE. Payoneer’s revenue is more diverse geographically than ever before. We are focused on this and will continue to drive our revenue diversification. In line with that strategy, we are now providing revenue by geography in our quarterly reporting. Payoneer continues to lay the foundation for multiyear growth. There are a few specific highlights that I'd like to share. We extended our global partnership with Airbnb for another three years and expanded the number of routes that we serve. We extended our relationship with Upwork for another three years and expect our business to continue to benefit from the global shift towards remote and outsourced work. We added new marketplace relationships across the globe, including Miracle [ph] in the US, OnBuy in UK, and PKay Fare [ph] in China. We launched a collaboration with Zoho to provide payment solutions to SMBs and freelancers working globally in India, Australia, New Zealand, the UK, and the Philippines. Zoho customers are now able to leverage an integrated solution to invoice their customers via the Payoneer platform. We expect, over time, this will increase both our AP and AR volumes. We established a new go-to-market team on the ground in Poland and underscored high-growth, large potential market for us to penetrate. And lastly, we are incorporating AI in our onboarding processes. We expect this will drive increased efficiency, lower our CAC and reduce the time it takes to onboard ICPs. Led by our newly hired Chief Growth Officer, we are taking a rigorous data-driven approach to evaluating our sales and marketing resource allocation with a view towards optimizing for growth and ROI. We are actively evaluating and adjusting how we allocate resources across the emerging markets we serve. This includes assessing our spend related to certain acquisition channels that we have determined to deliver customers that do not meet our ideal customer profiles. Additionally, we are assessing how we can further bundle our suite of services to grow share of wallet to drive retention and most importantly, increase ARPU. I'd like to dimensionalize the scale of our cross-sell opportunity. Today, nearly two-thirds of our customers get paid into their Payoneer account from only one source of accounts receivable, and they utilize only our withdraw to bank feature. While the impact will not be immediate, we are working to drive more AR into each customer's account to increase the adoption of our commercial MasterCard. We think how we market and price our capital solutions, introduced pricing frameworks that incent adoption of multiple products and most importantly, simplify the bundles of products we sell depending upon industry, geography and size. We're strongly encouraged that a greater percentage of our B2B customers use multiple products, and they generate a 50% higher effective take rate versus non-B2B customers. B2B AP/AR volumes increased 23% year-over-year on an apples-to-apples basis, which adjusts for the impact of customer terminations in Q3 of 2022. Overall, B2B volumes increased 2% year-over-year. It's important to note that the size of the average receivable is down approximately 11% for our B2B customer portfolio likely reflecting external macroeconomic factors. While volume growth is below our expectations, we exited the quarter with strong customer acquisition momentum. It requires focus and time to build strong, scalable processes for a new business line B2B AP/AR, we have demonstrated momentum in our B2B business, and we believe these long-term investments will drive growth and serve as a competitive advantage in the over $5 trillion cross-border B2B market. We continue to see strong adoption of our commercial card and checkout products. The penetration for each is in the low single digits, again, highlighting the opportunity to deliver enhanced value for our customers and increase our ARPU. For our virtual Commercial card, we increased usage by over 50% and more than doubled penetration year-over-year, and we see a lot of exciting growth and runway ahead. Today, our card is used by only 2.7% of our customers. We continue to enhance this product. For example, we recently enabled customers to self-serve on board to our cashback program via their Payoneer account. This will enable interest received rewards monthly and enable Payoneer to increase card usage and maximize customer acquisition and retention. Payoneer Checkout continues to generate positive early results and we have increased the number of merchants using Checkout by over 50% quarter-over-quarter. We continue to monitor progress and traction closely and remain optimistic about the long-term potential of our merchant services. Lastly, we continue to evaluate product-driven M&A opportunities that are core to our strategy and will help us deliver continued revenue growth and grow the moat around our emerging markets infrastructure. We believe M&A will play a meaningful role in our growth strategy and are actively evaluating opportunities. As we shared in February, approximately a quarter of our customers generate most of our volume and revenue. Today, we have approximately 500,000 of these customers that fit our Ideal Customer Profile or ICP. And beginning in 2023, we are actively shifting the way we acquire engage and manage our business to focus on this cohort. That is why we are sharing as a new disclosure, the number of active ICPs, and we believe this will be a useful metric going forward in measuring our progress. In the first quarter, we grew active ICPs by 9% year-over-year, 50% faster than overall customer growth. I am encouraged that the number of the largest of these active ICPs, those with greater than $120,000 of trailing 12-month activity grew twice as fast at 18% year-over-year and reflecting our continued investment in high potential regions. In the first quarter, we grew the number of active ICPs by approximately 20% year-over-year in Latin America and EMEA. One note, it is important for investors to understand that our strategic shift and focus on ICP is new. And as a global organization, this is an early step towards driving profitable growth for Payoneer. As we drive increased monetization and efficiency, our definition of what constitutes an ICP will evolve with time with many variables considered as we adjust, improve and scale our business. In addition to focusing on ICPs, we are also actively experimenting with pricing strategies, including annual account fees for specific cohorts as we work to more effectively monetize all of our customer cohorts. As we shared in February, we believe pricing will be a multi-quarter transformation that will drive improved monetization and reduce our CAC. To more efficiently capture the opportunity from the extraordinary inbound interest we get from prospective customers I remind shareholders that over 400,000 SMBs apply for Payoneer account every month. We have begun rolling out new machine learning models to predict registering potential profitability. When these are fully rolled out, this will enable more scalable and efficient operations. We will be able to quickly filter applications, identify the highest value potential customers and reduce our cost to process. We continue to make progress on our multiyear platform transformation led by our Chief Platform Officer. We are focusing in 2023 on building a scaled, cloud-based onboarding platform. We expect to roll out our best-in-class new onboarding platform in select countries towards the end of 2023, in line with our original expectation and to fully launch globally in 2024. To sum up, we are in the early innings of unlocking our full potential. We believe we have the global scale, bank and regulatory infrastructure, trusted brand and strong and aligned team to successfully execute. We are confident about our ability to drive long-term revenue growth and future profitability reflecting our conviction in our ongoing strategy, our Board of Directors recently approved a share repurchase authorization, which we will discuss shortly. I'll now hand it over to her to discuss financial results and forward guidance in more detail.
Bea Ordonez: Thank you, John, and thank you to everyone for joining us. Payoneer delivered another strong quarter of results with continued top line revenue growth and significant EBITDA margin expansion. For the eighth consecutive quarter since going public, we are again raising our revenue and EBITDA guidance. Additionally, in line with our commitment to enhancing investors' understanding of our business, we have made several disclosure updates this quarter. We believe the incremental data points provided will be useful in measuring our business momentum going forward. Q1 revenue increased 40% year-over-year to $192 million, driven by net customer acquisition, the growth of high-value services, growth in certain key markets and accelerating interest income from rising interest rates and growing customer fund balances. Note that revenue and ICP growth were partially offset by a 2% impact in each case from the closure of payments into Russia at the end of 2022. Q1 volume increased 8% year-over-year to $15.7 billion. Volume growth year-over-year was driven by a recovery in travel and mid single-digit growth from large e-commerce marketplaces. As John discussed, versus the prior year quarter B2B APAR volume growth has slowed due to the impact of customer terminations in Q3 of last year as well as declines in average invoice sites likely related to macro concerns driving a pullback in spending. With that said, B2B revenue growth continues to significantly outpace volume growth driven by mix shift into higher take rate customer types and geographies. Our Q1 take rate was 122 basis points, up compared to 94 basis points in the first quarter of last year and up sequentially versus 109 basis points in Q4. The year-over-year take rate expansion primarily benefited from higher interest income as well as from take rate expansion from our B2B business. Customer funds held by Payoneer increased $837 million, or 18% year-over-year to $5.5 billion. Sequentially, customer funds declined 6% and reflecting a normalization from seasonally elevated levels at year-end, something which we called out during our February call. Against the backdrop of extreme volatility in the U.S. banking sector, the stability in the customer funds held on our network highlights the trust our customers have in Payoneer and underscores the fundamental utility we deliver to our customers via our operating account offering. We have grown customer fund balances on our platform at nearly twice the rate of volume over the past three years. Most of our customer funds are held at global systemically important banks and over 80% of customer funds continue to be in interest-bearing accounts. We earned $50 million of interest income from customer fund balances in the first quarter, up from less than $1 million in the prior year period and $36 million in the fourth quarter of 2022. We continue to explore opportunities to reduce our sensitivity to changes in interest rates and to optimize our ability to monetize customer funds held on our platform. Q1 transaction costs were $27 million and increased 6% year-over-year. This represented 14.1% of revenue, an improvement from 18.7% in the prior year period, benefiting from higher interest income as well as our ongoing focus on driving operational efficiencies and our ability to leverage our scale to drive down costs. Bank and processor fees, the largest component of transaction costs increased 1% year-over-year with higher transaction costs associated with high-value services driving that increase. This was partially offset by mix shift into lower take rate geographies and the impact of improved pricing with our partners. Q1 revenue less transaction costs increased 48% year-over-year to $165 million. Q1 total operating expenses, including transaction costs were $177 million, up 24% year-over-year. Excluding transaction costs, operating expenses of $150 million increased 27% year-over-year. Excluding the $16 million of discretionary investments in the fourth quarter, operating expenses, excluding transaction costs were relatively flat sequentially, reflecting a more disciplined approach to spending in our business. Our sales and marketing costs in the first quarter increased $13 million or 39% year-over-year, representing approximately half of the total year-over-year increase in Q1 operating expenses, excluding transaction costs. Higher sales and marketing costs were primarily linked to higher headcount in our go-to-market organization from hiring in 2022 and reflects our ongoing focus on driving acquisition of ICPs and high-value partners. Q1 adjusted EBITDA was $39 million compared to $10 million in the first quarter of last year and $11 million in the fourth quarter. Q1 net income was $8 million compared to net income of $20 million in the first quarter of last year, which included a gain of over $30 million from the change in fair value of warrants. Q1 basic and diluted earnings per share was $0.02. We ended the quarter with cash and cash equivalents of $545 million, a $79 million increase year-over-year. We continue to actively evaluate and adjust our capital allocation strategy to ensure that we continue to invest to drive organic revenue growth including in our platform and in executing on our product road map. We also remain intently focused on M&A opportunities. In 2022, we saw public company valuations for fintech companies dropped significantly, while a similar correction in the private market has lagged the public market. We are, however, beginning to see signs of downward pressure on private company valuations with the shifts accelerating following the collapse of SVB. We have seen an uptick in inbound opportunity and are actively evaluating several potential targets. We are growing our capabilities in this area and further refining our strategy and road map. At the same time and as part of an investor focused data-driven and balanced capital allocation approach, we announced today that our Board of Directors has approved an $80 million share repurchase authorization. Turning to our outlook. We are raising our guidance for the eighth consecutive quarter since going public. As a reminder, we do not provide quarterly guidance at this time. For full year 2023, we expect revenues to be between $810 million and $820 million. Transaction costs as a percent of revenue to be approximately 15.5% and adjusted EBITDA to be between $140 million and $150 million. We expect revenue growth to be driven by continued ICP acquisition, growth in our B2B business and other high-value services and from interest earned on our customer balances. Our revenue growth expectations, excluding interest income, are slightly softer relative to our prior guidance, reflecting a slight deceleration in volume growth in the first four months of the year and ongoing macro headwinds that could constrain consumer and business spending. We expect interest income to be approximately $200 million for 2023 based on exit balances at the end of the first quarter, moderate balance growth in line with volumes for the remainder of the year and current anticipated Fed funds interest rate changes. In line with market expectations, we anticipate interest rates will begin to decrease in the back half of the year. Assuming flat balances, we expect this would drive a $20 million revenue headwind in 2024, as compared to 2023. Based on our stated guidance, we expect cash OpEx, less transaction costs to be $540 million to $550 million for 2023. This is $10 million lower than our prior guidance, reflecting a greater degree of operating discipline and one which we believe is appropriate given the current environment. We believe Payoneer has near and longer-term opportunities to optimize operating efficiency. Work is underway to assess our spending across every function in category, including headcount, third-party vendor costs and related to our real estate footprint. We continue to evaluate our long-term hiring needs, including in the context of the macro climate. And as of May 1, we have restricted our hiring plans across the organization. We expect this will generate approximately $5 million of savings in 2023. We will continue to ramp up our R&D team to support our ongoing platform transformation. We are also actively evaluating further headcount efficiencies, as we look to delayer our organization, streamline our operations and reduce redundant roles. We expect to exit the year with headcount modestly lower versus the prior year. Finally, we continue to localize our operational support with service centers in Latin America, Eastern Europe and Southeast Asia that will better serve our customers while driving additional operational efficiency. Our latest guidance for 2023 adjusted EBITDA is between $140 million and $150 million. This guidance reflects a nearly threefold increase in adjusted EBITDA versus 2022. In conclusion, Payoneer first quarter results underscore our ability to consistently deliver strong financial results. We have built a broad, diversified and resilient business and we continue to see significant customer demand for our financial operating solution. We have confidence in our ability to meet our updated 2023 financial targets, while we remain focused on investing to position Payoneer for long-term profitable growth. Lastly, I'm excited to announce that Payoneer will be hosting its first Investor Day on September 21, 2023, in New York City. We look forward to seeing many of you in person in the fall. We are now happy to answer any questions you may have. Operator, please open the line.
Operator: Thank you. [Operator Instructions] The first question today comes from Darrin Peller from Wolfe Research. Please go ahead.
Darrin Peller: Hey, guys. Good morning. Nice job on these results. Maybe we start off with the focus on ICPs and the growth. And -- what are your thoughts on the ability to grow that base, the way you've been growing it during different macro environments, just given how many applications you're getting, you obviously have quite a bit of opportunity. It's just more of a decision on risk, I imagine. So help us understand what your goals are around that and what kind of opportunity there? And then I have a more detailed follow-up on ARPU potential and pricing, if you don't mind.
Bea Ordonez: So thanks for the question, Darrin. I'll take the ICP one. So look, as we discussed last quarter, we've really begun to manage our business based on an approach that is more focused on acquiring and serving those customers who meet that target or as we're terming an ideal customer profile. And today, we're determining that profile based on the average monthly amount of transaction volume that a particular customer does on our network. And the reason for that is that based on the data analysis that we've found, we found that, in general, customers who do at least $500 in volume monthly are profitable. There are exceptions, of course, we see customers who do less who can be profitable, customers who do more that might not be. It very much depends on product usage, adoption, corridors, served and so on. But we think it's an important measure and in line with the enhanced disclosure that we've committed to making, we're disclosing that metric as an important sort of strategic focus for the company. So we disclosed when we last reported earnings for Q4 that approximately 25% of our customers drive the vast majority of our volumes, our revenues and our profitability. And that 25% is really the roughly 500,000 customers that we're talking about today in our release and that we're identifying as ICPs. So look, again, we're pivoting our approach from an acquisition perspective. We're very much focused from an acquisition perspective across the organization in driving this. We are at the early innings, as John likes to say, and really realizing that. But we're encouraged by that early momentum. We flagged today that we were able year-over-year to grow ICPs by 9% and versus 6% gross in active customers overall year-over-year. And also, we were able to grow sort of the larger customers within that overall cohort, those that do more than 10,000 per month. We were able to grow that by 18%. Over time, we're going to drive efficiency in that operating model and be able to generate sort of more of that acquisition and frankly, push down the ideal customer profile so that we can generate profitability across a broader cohort of customers. But today, we're focused with that kind of bar in mind and pivoting the organization. We're encouraged by early momentum, and we're going to start setting those targets as we move through the process.
Darrin Peller: All right. That's helpful. Thank you, guys. John, just a follow-up and a bit of a follow-up on monetization of different kinds of customers, I mean, you talked a lot about ARPU opportunities on the call. I think pricing on some of the volume intra network Payoneer to Payoneer customers has always been an opportunity we wondered about. But other products, the commercial card you talked about, checkout. Can you give us a sense if you were to sort of give us either a rank order of which are the most exciting opportunities for incremental ARPU or maybe the magnitude and how material these can be relative to how you generate revenues today?
John Caplan: Hi, Darrin, great question. So we're seeing, I think, positive progress on working across experiments around pricing. We're experimenting with account fees and looking at specific corridors to optimize our pricing because some corridors, we think we have some pretty interesting opportunities there. As I shared on the call, our B2B business monetizes at 50% greater than the marketplace payouts space. And so we are more mature in our monetization of B2B of the card and less mature around working capital and merchant services, which are earlier in their life cycle. As I think about pricing, I think there's real opportunity for us as we drive more accounts receivable into Payoneer account holders accounts and then cross-sell and upsell the commercial MasterCard, which is underpenetrated from our perspective. We saw 50% growth year-over-year, and there's deep and intense focus on driving the penetration of that product. And I mentioned just a moment ago, the opportunity to drive more monetization on working capital and merchant services. So we believe that with two-third of our customers today only getting paid from one source and directly withdrawing their funds, we see a real opportunity to add cross-sell and upsell, particularly around accounts payable. We have nearly doubled payable product usage in the last two years. And so we continue to see the right momentum there, and we'll focus on that.
Darrin Peller: All right. that’s great, guys. Thank you 
Operator: Our next question is from Trevor Williams at Jefferies. Please go ahead. 
Trevor Williams: Thanks. Good morning. John, the shift to focus on ICPs, I think, makes a lot of sense. I'm just wondering how we should think of that and how it's going to come through in terms of the change in your geographic mix over time? I'm assuming that means the mix tied to China starts to come down even faster. But if we're just thinking about the next couple of years, kind of how we should see that evolution come through in terms of kind of underlying geographic and country mix. Thanks.
A – John Caplan: Yes. Yes, it's a great question, Trevor. So we're an early mover in the highest growth emerging markets around the globe, as we shared on the call, 25% growth in all of our regions, which I think highlights the diversity of industries we serve, size of companies we serve, the potential of our global platform. I am personally super excited about Latin America, CEMEA and APAC, and we are investing heavily to further penetrate these markets 50% growth in Vietnam, Argentina, Mexico, Colombia and UAE speaks to the productivity of our go-to-market organization and the product market fit that we have. There are ICPs in every region of the globe. And it's early days for us thinking about how ICPs translate to specific countries and geographies. But we are very committed to building and expanding the transparency, the focus on ICP is so that our shareholders can understand the breadth and depth of our service and the potential of our business. There are 300 million potential customers globally for Payoneer to serve and we have just gotten started. As we were saying, we are in the earliest of the early innings here, and this kind of focus is extraordinary, and we have our teams around the globe, employees in 28 countries, all focused on ICP. And I think that's -- the magic in that is the 18% year-over-year growth we saw in the largest of those ICPs, those doing over $120,000 a year in trailing 12-month volume potential of where we are, and we're just getting started on it.
Trevor Williams: Got it. Okay. And then along those lines, are there any geographies in particular that maybe Payoneer hasn't had as big of a presence in historically that maybe now that you've been in the seat you're talking about starting to become more aggressive in? I don't know if India is one potentially that comes to mind Warsaw [ph] Poland was called out in the press but anything else to call out in terms of countries that might become more of a focus? Thanks.
A – John Caplan: Yes. So -- and I've shared this, I think, with you in the past, where I visited generally is a pretty good indication of our focus, and I spent time on the ground in India, time on the ground in Argentina and CEMEA [ph] and APAC are getting tremendous focus. That does not -- is not to undercut the momentum and power and leadership position we have in the Greater China region, it just speaks to the extraordinary opportunity we have globally. But I am very excited about Latin America and the momentum we have there to continue to penetrate that market significantly.
Trevor Williams: Great. Thanks a lot.
Operator: Our next question is from Will Nance at Goldman Sachs. Please go ahead.
Will Nance: Hey guys, good morning. I just hope its morning. I wanted to maybe double-click on some of the ICP disclosures. I guess when you look at the vertical mix of the ICPs, and maybe just using the verticals on slide seven, so e-commerce, freelance content creation, et cetera. Are there any of these verticals that are kind of more or less kind of rich and high-value customers that you guys are thinking about emphasizing more going forward after kind of refocusing the business?
John Caplan: Will, that's a great, great question, and it's too early for us to give sort of additional disclosure on that. I can say for September 21st Investor Day, we're excited to share more information about both geographies, ICPs and the business -- the industries that our customers serve. We've talked in the past about the good seller in China, the BPO in India, the Freelancer in Argentina, the Ukrainian engineer, we are -- we serve such a breadth of customers that it's too soon and too early for us to comment more specifically on the mixes by either by geography or size?
Will Nance: Understood. It makes sense. Look forward to hearing more about that in September. Maybe just a follow-up question, more on the details on the take rate dynamics this quarter. So, I think the take rate was down a little bit sequentially if you back out interest income. I'm just -- I usually think about fourth quarter as being kind of seasonally lower given the e-commerce mix, but it does sound like you guys have been growing among larger client cohorts. So, just wondering if you could kind of unpack a little bit what's going on in the take rate and what drove the take rate down a little bit sequentially?
Bea Ordonez: Sure. Thanks Will. So, yes, the take rate year-over-year is up roughly 28 basis points, and that's largely a factor of interest income driving up on the total revenues. Sequentially, as you noted, our take rate is up about 13 basis points, again, with interest income and a little bit of higher usage, which seasonally we typically expect coming into Q1. We see higher volume coming into the platform in Q4, and proportionately, higher usage in Q1, typically speaking, which will drive up revenue. Some of the puts and takes that we generally sort of see around tape rates. It's both product mix. Obviously, as we said in the past, as we mix shift into higher take rate products like our B2B business, like our commercial card offering, we see that take rate pick up as we shift from a geography perspective into different kind of regions with different levels of maturity, we'll see that take rate shift as well. Q1 is an example, a good amount of our volume growth was based or came out of more mature regions like China and larger e-commerce sellers. Those will tend to deliver a lower take rate dynamics as we see shift into other kind of higher-value regions that we've been focusing on, we'll see that shift. So, there's puts and takes related really to the product mix and also to the geo mix that will shift over time.
Will Nance: I appreciate taking my questions. I actually do see the core take rate up sequentially, so I apologize for that.
Operator: Our next question comes from Ashwin Shirvaikar from Citi. Please go ahead.
Ashwin Shirvaikar: Thank you and congratulations on the good quarter. Have a -- let me start with the question on ICP in terms of just sort of the -- it's a great idea, but what's the thought process behind the parameters that initially determine what -- who is your ideal customer? And what happens to the customers that don't initially meet the criteria? Is there a process of providing them incentives to kind of get into that ICP space, if you will, or will this represent sort of a, overtime headwind in terms of account growth and so on?
Bea Ordonez: No. Thanks, Ashwin. That's a great question. So look, as we highlighted, the bar that we have set for an ICP today, right, is that they do 500 or more in monthly average volume because today, given our current operating environment, that's a pretty decent indicator based on all the sort of unit economics analysis that we've done that a customer will deliver profitability. So we think that's a good bottom measure. And as we shift the company's focus to acquiring more of those customers, we're using that metric today to really sort of drive that go-to-market motion, to incent our sales force and through our other acquisition channels to really focus on that cohort of customers. The reason I'm emphasizing today, and it goes to your question, which is a really good one, is that overtime, as we look at some of those monetization efforts that John has highlighted, albeit pricing, a more nuanced approach in general, sort of specific pricing that's designed to address the long tail of customers as well as other kind of cross-selling initiatives that will drive up ARPU, we would expect that definition to shift, right? If we drive up ARPU, if we drive up monetization and adoption of our higher take rate products, we'll be able to be profitable at a lower volume level. Similarly, as we drive -- we talked a lot during the last call around driving efficiency in our operating model, around investing in our platform to make our operations more scalable, more efficient we would expect those efforts as they come to fruition from an onboarding perspective, from a cost to serve perspective to allow us to more profitably serve a greater proportion of those customers. So look, while today, we can profitably serve roughly 25%, but we think, we can meaningfully increase that. We think, we can do that through increased monetization and cross-sell. We think, we can do it through pricing. And we're doing it through investment in our platform and our capabilities.
Ashwin Shirvaikar: Understood. It's very helpful. And in terms of customer funds, they were -- it was down sequentially, roughly $300 million. Is that seasonality? Was there some element of maybe the bank turmoil driving some of that, maybe the ICP? I just kind of want to get into the reason for that? And what should we expect in the next quarter?
Bea Ordonez: So no, it's a good question. Look, yes, as you called out, we saw a sequential decline, Year-over-year, we were up significantly. And we've continued to outperform volume growth in terms of the balances on our network. We typically see a seasonal decline in Q1, because we're coming off of very elevated exit balances because of just holiday spending on our e-commerce channels. In terms of sort of banking turmoil in general, look, we monitored very carefully in the aftermath of the SVB collapse. We were monitoring pretty much in real time for signs of outflow or changes in customer behavior. We really didn't see that. We proactively communicated with our customers. We've seen no significant change in behavior. And so overall, we're actually really pleased and think that this demonstrates the trust that our customers place with us in an environment of massive volatility and large banks in the U.S. seeing significant outflows. We haven't seen that. We've seen expected outflows. So we're pleased, we think it demonstrates the utility we provide, the trust that customers place in us. And we'll continue to monitor that customer behavior and look to expand the way we monetize those balances and the offerings we provide to customers to be able to grow.
Ashwin Shirvaikar: Thank you. Appreciate it.
Operator: Our next question is from Mayank Tandon from Needham. Please go ahead.
Mayank Tandon : Thank you and good morning and congrats on the quarter. John and you guys gave some good information on the cross-sell opportunity. But could you give us a sense of what the customers today are using multiple products, maybe in terms of percentage and where you see that going over time? And then the related question would be, if they're not using your products, these higher-value higher take rate products. What are the alternatives in the market that they could be using and said that you could potentially displace with your own higher-value products?
John Caplan: Sure. Good to hear for you and thanks for the question. We shared on the call that a significant number of customers have yet to use multiple Payoneer products. And we view that as an intense focus area for our product organization and our go-to-market organization both in the products we introduced, the flows, the experience and flows our customers feel when they log into their account and what products they see and are easy to onboard into our B2B customers, the customers that are invoicing or using our accounts payable or accounts receivable solutions are more likely to use more products. But we have low single-digit penetration of our highest-value services and are very focused on driving that growth, both because that utility is essential for the success of our customers and the monetization increase is powerful for our P&L. What do we need? We need more accounts receivable solutions, and we're working on both homegrown building them as well as buying them. We need improved working capital and lending solutions for folks that are need access to capital that otherwise don't have it at the right price to get it quickly. And more accounts payable solutions, our commercial MasterCard or the ability for our customers pay outside of the pay in your network with they're paying your balances. Darren asked earlier about the utility of customers using the network itself to pay other Payoneer customers. We think really across the board, there is a suite of improved services and broader services we can build ourselves, which is underway and/or by. And so I won't name specific companies or products or features that we have our eye on, but rest assured that the team is very focused on expanding the suite of cross-sell products we offer. A dynamic that I think is important for shareholders to consider. The customer in Argentina, she or they may have different needs than our customer in Poland or our customer in Vietnam. And so the solutions, the accounts payable solutions in one market that are purposeful for a segment or industry may or may not be directly relevant globally. What's powerful about paying here is our ability to provide global solutions that then are -- how do I say, it tray, purpose built for the industries or geographies that we serve. And I think over the coming five years, this product-led growth and product-led M&A will be a really important dynamic of the expansion of the Payoneer franchise.
Mayank Tandon: That's a very helpful, John. And then just a quick follow-up question. Bea, in terms of the trajectory of revenue and adjusted EBITDA for the year, could you give any color given seasonality and your expectations on the flow-through of interest income as we move through the year?
Bea Ordonez: Sure. Look, we expect, in general, the quarters to perform as they have done historically in terms of seasonality. So generally speaking, higher revenues on the back end of the year from a seasonal perspective and also from our efforts to drive acquisition over the course of the year. As we flagged, when we released the initial guidance for 2023, we would also expect the operating expenses cash base would increase over the back half of the year as well as we continue to ramp up hiring vis-à-vis our platform investment. We, obviously, discussed today on the call that we have paused hiring, which is a big driver of at least a portion of that increase, roughly 70% of our cash-based OpEx is labor related. So we have paused hiring given sort of some of the softness that we highlighted in some of our core revenues. So that should see some benefit in the back half of the year, not a meaningful impact to 2023. We called out the $5 million, but a more meaningful impact as we sort of constrain some of that spending as we look into the 2024 run rate. So, look, overall, we remain confident on delivering the revenue targets that we set out, moderately rising revenues through the back half of the year from seasonal impact rising expenses from investments, but looking to evaluate all of those. And look, we're really pleased to be able to continue to deliver a good portion of the interest income uplift back to investors and to deliver meaningful EBITDA expansion year-over-year more than 3x is what our guidance would imply for 2023 versus last year.
Mayank Tandon: That's a great color. Thank you so much.
Operator: Our next question is from Bob Napoli of William Blair. Please go ahead.
Bob Napoli: Thank you and good morning. Thank you for the additional disclosures, really helpful. So just -- I mean the regional market disclosure that you gave and the growth rates by market, like super impressive. I mean, how should -- I mean, are those growth rates generally sustainable? And how should we think about those growth rates relative to the growth of payment volume? I mean the growth of payment volume is, they’re seems to be below some of those -- well, for some of the growth rates by markets, is that -- what is the -- just any color you can give on the growth rates that we saw, the sustainability and how that translates into the payment volume and then obviously, the revenue.
John Caplan: Hey Bob. John here and I'll start, and then Bea if there's something you want to add, please do. Our quarterly and annual growth rates will fluctuate by country, by region over time. And the focus on ICPs and the renewed focus on penetrating deep into the highest opportunity markets we have, I think we'll see -- how would I say it the right way. I think we will see it, it grow and change and evolve, and it will take us a couple of quarters to see what the pattern -- how the patterns emerge. We are intensely focused on penetrating Latin America, CEMEA and APAC, and we are seeing the kind of results that indicate we are just at the beginning of pretty powerful momentum. And so, I don't want to call it yet, but it is early innings, but lots of momentum.
Bea Ordonez: Yes. The only thing I'd add to that, Bob is, look, we grew volumes 8% year-over-year, and that's a factor of adding customers. We're seeing great early momentum as we've said, as well as high single-digit growth from our larger e-commerce partners and a significant rebound in travel. That doesn't all flow through to revenues in Q1. And partly, that's a mix shift to those larger lower take rate. E-commerce players, as we called out in response to one of the other questions, the travel volume is great. We love to see that rebound, but it's relatively lower margin business. And we did call out slowing growth in our B2B business, right? It's largely a result of the macro environment, we believe. We're seeing great acquisition there. We think we have good product markets there. But we're seeing sort of a decrease in spending on average by roughly 11%, which we think is sort of uncertainty driving and depressing that spending in the short term. We did also call out the exit from Russia, which acts as a headwind. We called that out coming into the year, and we're seeing the impact of that. All of which is to say, look, we're pleased with that 8% volume growth. It's in line with peers. It's in line with the trends we're seeing. The revenue didn't quite flow through for the reasons I gave, but we view those as short-term headwinds to our ability to grow revenue. And overall, we're excited macro uncertainty, notwithstanding. We're excited about the long-term trajectory and our ability to deliver volume and revenue growth.
Bob Napoli: Thank you. And then a follow-up. You obviously have a very strong balance sheet that's very under leveraged and you mentioned your focus on M&A and the importance of that. I was wondering if you could give some color on the types of businesses that you feel would add the most value to the Pioneer franchise, so in a perfect world, what do you -- what type of businesses would you like to add?
John Caplan: Yeah. So just quickly on that, Bob, we are actively evaluating M&A opportunities really through the lens of product extensions where we can leverage our existing reach and customer base. The earlier question about cross-sell and upsell opportunities, I think, is particularly relevant deepen our regional footprint in those higher growth markets, and we talked a lot about that on this call and then extend our existing licensing framework and the moat around the business, the infrastructure we've built, our brand, our licenses, our relationships with banks to continue to grow that mode. So those are the three specific areas we're looking at and nothing to announce on any deals today, but we are active on all fronts.
Bob Napoli: Great. Thank you. Appreciate it.
Operator: The next question is from Sanjay Sakhrani from KBW. Please go ahead.
Sanjay Sakhrani: Thanks. Good morning. I guess many of my questions have been answered, but I wanted to parse apart to the updated guidance because I know there's a lot of things that have changed in some ways like the slower volumes and such and also the float income, I think, has moved up a little bit. Bea, could you just go through sort of what sort of what's baked into the guide now? And sort of what drove -- what was fundamentally driven to the upside? And what worked against it? Thanks.
Bea Ordonez: Yeah. Thanks for the question, Sanjay. So yeah, look, as we sort of flagged in common with our peers and some of the sort of adjacent e-commerce-focused businesses, you can't always get a read through, right? But there seems to have been a common theme, which was a relatively strong January and February, and flattening consumer and business spending trends in March and into April. We've seen similar trends in our business, right? So the slightly softer revenue growth trajectory that we're calling out in our guidance reflects that as we see it today, right? Again, we view those as short-term macro headwinds, but we're reflecting that in the guidance. The uptick in the revenue comes from the float income, where we remain bullish about our ability to grow those customer funds. We think as I said, that we performed well through some very volatile times in the banking sector and that we can continue to effectively monetize those balances. So that's the revenue. We walked down transaction costs, our guide in terms of where we think we'll land. That's a factor in part of the benefit from float income, but also increasing efficiency in our banking infrastructure. And then the final element was just a walk down our operating expenses, our cash-based operating expenses, which again, we think is a prudent adjustment to the macro climate in which we're operating. And where we see short term and frankly, also longer-term profitability or leverage capability in terms of optimizing how we run the business from short-term sort of impacts as well as longer-term investment that will allow us to scale.
Sanjay Sakhrani: Okay. Perfect. And then on those long-term extended relationships that you mentioned with Airbnb and Upwork, how should we think about like the economics of that? I mean, should we assume that nothing materially changed there, because you mentioned some of the headwinds from improved pricing. I'm just curious, how we should factor that on a go-forward basis?
Bea Ordonez: Yes. So just to put it in its context, for the majority, we've called this out before, but for the majority of our marketplace relationships, we don't receive revenue directly from that marketplace, right? Our relationship, as we pulled out is with the sellers or the underlying SMBs in global markets. We acquired those SMBs often directly. The marketplaces are helpful channels as well and we earn revenues from those SMBs directly when they use our services. In certain cases, we do have, as we've called out contractual arrangements with the marketplace, where we provide cross-border payout services. We basically provide them with the cross-border capabilities that allow them to pay the sellers that operate on their platform. And we win this business and have won this business for many years, because of the breadth of the countries that we serve and the scale and resilience of our infrastructure that we've proved over many years. So with a very limited number of marketplace, we -- or marketplaces, we earn like non-volume fees for additional services we provide them. Again, we called out one such marketplace in Q2. But as I said, generally speaking, our revenues are not dependent or reliant on a particular contractual relationship vis-à-vis Amazon, for example, we represent one of a number of choices that SMBs have when they sell -- on that platform. We do, of course, value the partnerships. We called out these new partnerships because we felt it was important to show how we're winning in grabbing this kind of market share. And we view those partnerships really as a critical part of the infrastructure that we have built, a critical way of acquiring customers and a critical way of growing AR into our platform. So look, overall, we're excited about the recently announced partnerships. Miracle is a great example of the kind of platform that we can effectively serve and we're looking to sort of expand that ecosystem to really drive volume growth.
Sanjay Sakhrani: Thank you.
Operator: Our last question comes from Josh Siegler from Cantor Fitzgerald. Please go ahead.
Josh Siegler: Yes, hi, good morning. Thanks for taking my questions and congratulations on the strong trend. So can you provide us with some color on your investment spend as you continue to upgrade your technology platform? And do you expect a subsequent acceleration in ICP growth as the new onboarding platform is rolled out?
Bea Ordonez: Again, we called this out -- and thanks for the question, Josh. We called this out when we reported Q4. We're going to make significant investments in product innovation, including in our B2B business, where we think we've been able to demonstrate sort of real progress as well as in our checkout capabilities. We're continuing to invest in our core offering. And as an example, in Q1, we launched enhanced role management capabilities. We announced a partnership with an accounting ERP. These are all sort of step change improvements in the functionality that we can deliver to our clients. And as we discussed in February, we're committed to making meaningful investments in our platform and we're starting with our onboarding capabilities. We think that, that's the place to start because it's an important part of the engine that drives our growth. We regularly see up to 0.5 million customers showing up at our door every month, and we incur significant costs onboarding those customers. So we're starting there because we want to give those customers a better customer experience that should allow us to acquire more effectively. We want to reduce the cost to acquire those customers and bring them through our tours. And we also want to be, frankly, a little more nuanced in how we bring clients through the funnel. So as John called out, we've launched some predictive modeling tools that will allow us to better assess when a target customer hits our funnel and move them through the process more efficiently. Look, again, early innings, we're doing a lot of work here. We're going to make a meaningful investment this year and expect to go live by the end of this year. The impact of these investments will be felt in 2024, but we feel good that they're going to both drive our acquisition capabilities and make us more effective as well as drive down our costs to acquire and our cost to serve our customers.
Josh Siegler: Great. Thank you. And then I'm curious about the demographic of the merchants that are most impacted by this curtailed spending and volume due to the uncertain macro environment. Are these merchants most impacted by the macro, more constraints on current geography or perhaps differentiated by volume cohort?
Bea Ordonez: Are you referencing the B2B, the callout we made around constrained spending in our B2B business?
Josh Siegler: Correct.
Bea Ordonez: Yes. Look, we really didn't, sort of, drill in or we're not sort of discussing the drill down in terms of specific customers. What we really wanted to call out is that in common with peers that are in that B2B space, we're seeing good acquisition metrics, good forward momentum in terms of the clients that we onboard. But in terms of customers on our platform who are super sticky and as John called out, use a broader range of products we did see a decline in the amount of spend. We think that that's a macro outlook issue and that's depressing spend. So we'll continue to monitor that, but we felt it was worth calling out.
Josh Siegler: Okay. Thank you for taking the questions.
Michelle Wang: Thanks, Josh.
Operator: This concludes the Q&A session. I will now hand the floor back to John for closing remarks.
John Caplan: Thank you all for your questions and for joining us this morning, and thank you to my Payoneer colleagues around the globe who are tuning in for your hard work, dedication and focus on our customers. We are moving forward at pace and I'm proud of our progress. I'm incredibly excited about Payoneer’s growth trajectory and the significant and sizable opportunity we have to help even more of the world's SMBs do business globally. We're just beginning our next leg of our exceptional growth and appreciate our shareholders' continued support. Thank you all
Operator: This concludes today's conference call. Thank you very much for joining. You may now disconnect.